Operator: Thank you for standing by. This is the conference operator. Welcome to the Avino Silver & Gold Mines First Quarter 2018 Financial Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Jennifer North, Manager, Investor Relations for Safe Harbor statement. Please go ahead.
Jennifer North: Good morning, everyone and welcome to the Avino Silver & Gold Mines Limited first quarter 2018 financial results conference call and webcast. On the call today, we have the Company’s President and CEO, David Wolfin, our Chief Financial Officer, Malcolm Davidson, we also have on the line our Chief Operating Officer, Carlos Rodriguez and one of our Directors, Mr. Jasman Yee. Before we get started, please note that certain statements made today on this call by the management team may include forward-looking information within the meaning of applicable securities laws. Forward-looking statements are subject to known and unknown risks, uncertainties and other factors that may cause the actual results to be materially different than those expressed by or implied by such forward-looking statements. The company does not intend to, and does not assume any obligation to update such forward-looking statements or information other than as required by applicable law. For more information, we refer you to our detailed cautionary note in the presentation on our – or on our press release of yesterday’s date. I would like to remind everyone that this conference call is being recorded and will be available for replay later today. Replay information and the presentation slides accompanying this conference call and webcast will be available on the website. Thank you. I will now turn the call over to Avino’s President and CEO, Mr. David Wolfin. David?
David Wolfin: Thanks, Jen, and good morning, everyone and welcome to Avino’s Q1 2018 financial results conference call and webcast. Thank you all for joining us here today. Before we begin, please note that the full financial statements and MD&A are now available on our website. Today, we will cover the highlights of the first quarter 2018 financial and operating performance, and then we will open it up for questions. Please note that all figures are stated in U.S. dollars unless otherwise noted. The first quarter of this year was fairly consistent to the same period 2017 with slightly lower production rates that resulted in revenues that were almost identical to the same period of 2017. We continued to deliver solid financial and operating results and while our silver and copper production was slightly lower, gold production was 12% higher and silver equivalent increased by 9% over the first quarter 2017. During the quarter, the company produced 2166 tons of bulk copper silver gold concentrate from its Avino Mine and 1074 bulk silver gold concentrate from its San Gonzalo Mine. Also during the quarter, we continued the testing program for recovery of the zinc from the San Gonzalo tailings throughout the fourth quarter. The company produced 233 tons of low-quality zinc concentrate creating 1582 grams silver, 6.96 grams gold, and 13.35% zinc for an additional 22,343 silver equivalent ounces. The product has since been sold to March 31, 2018. We are pleased with the progress of Mill Circuit 4 in Mexico. The installation of a filter press and a bank of floatation cells from Outotec and piping for the thickener are now underway. The work is expected to be completed late May 2018. The start-up and commissioning of grinding ball mill for Mill Circuit 4 commenced during the quarter with flotation feed from the new ball mill reporting to Mill Circuit 3's flotation cells. This is being done in an effort to speed up and derisk the commissioning of Mill Circuit 4. The grinding mill is operating smoothly and no issues have been encountered. Mill Circuit 4 will be used to process mill feeds from the Avino Mine and we will increase the throughput capacity of our processing plant by approximately 70%. For the first six to eight months, we will be running historical stockpile material through new mill circuit. During the quarter, we announced drill results from 19 holes of the planned drill programs on the Chirumbo, Guadelupe and San Juventino areas at the main Avino Mine located on the Avino property. The objective of this program was to explore these targets which were outside the main active mining areas to assess their potential. We are pleased with the results from the Chirumbo area to the east of the Elena Tolosa Mine as they show great continuity and further extension of the main Avino vein to the Northeast. The results from Guadelupe and San Juventino demonstrate additional mineralization between the current mining areas, at Elena Tolosa and San Gonzalo Mine. There are longer term targets that warrant further exploration and drilling. The drilling results of San Juventino are encouraging. The vein demonstrates true width in excess of ten meters and the close proximity to existing underground infrastructure should be advantageous. Additional exploration of the Avino vein system between the San Luis and Elena Tolosa workings where the Avino vein remains open at depth was conducted during the quarter and the results are being compiled and reviewed. During the quarter, we also completed and updated mineral resource estimates for the company’s Avino property, which includes the property San Gonzalo Mine, the Avino Mine vein systems and the property’s oxide tailings. The successful drill program started in 2016 has allowed us to evaluate the tonnage and grades in the areas between the San Luis workings and the ET production area. The results of which were incorporated into the updated mineral resource estimates. This updated mineral resource estimate include a 34 drill holes that were completed during the drill programs from 2016 to 2017. These drilling programs have significantly increased the amount of information available for resource estimatization. The drill holes and assay data were completed into the updated mineral resource estimate. The results of the additional drilling contributed to an approximate 225% increase in tonnage in the measured and the indicated resource categories and a decrease of 25% in the inferred resource due to the conversion of a portion of the inferred resources to the indicated resource category. With respect to the alternative tailings disposal, management retained the services of SRK Consulting out of Canada MPL Mine Paste Ltd. to review the mine operating plan and alternatives for tailings disposal. Additionally, an optimization review of the internal operating plan was carried out resulting in discussions on an alternative to conventional tailing storage and a recommendation to use tailings as backfill. The recommendation is contingent on a revised internal operating plan which is underway. This is based on using these thickened tails as backfills from ground support underground for the mined out stopes, and tailings disposal into the existing open pit as preferred alternatives to conventional tailings storage facility. The advantages of alternative methods of tailings disposal include, limited ground disturbance, and capital expenditures, reduced footprint on surface from future mining, increased tailings storage capacity with minimal permitting requirements, lower drift of social and community issues. Before I hand it over to Malcolm, I’d like to say thank you to the teams in both Canada and Mexico. Avino’s steady results are due to their dedicated efforts. I will now ask Malcolm Davidson, Avino’s Chief Financial Officer to present the financial results.
Malcolm Davidson: Thank you, David and welcome to all who are on the call and viewing our presentation today. During the first quarter of 2018, our financial results were slightly lower than the first quarter of 2017, due impart to the increasing costs for labor, mine mill supplies, contractor services, electricity and fuel, as well as lower silver and copper production. Revenue from mining operations during the quarter were $8.2 million, compared to $8.1 million for the first quarter of 2017. Mine operating income was $1.9 million, compared to $3.5 million in Q1 2017. The decrease is due to slightly lower production rates and increased production and labor cost and depletion on San Gonzalo. Our average realized silver price decreased by 4% to $17.38 to $16.73 per ounce sold. Our average realized gold price increased by 9% from $1218 to $1330 per ounce sold compared to Q1 2017. Our average realized copper price increased by 19% to $6979 per ton from $5873 per ton in the comparable quarter. After taxes, net income for the first quarter of 2018 was $0.8 million or 0.2 basic EPS, compared to $0.7 million or $0.01 in the first quarter of 2017. Working capital for the quarter was $11.6 million compared to $16.4 million in the same period of 2017. The decrease is due to our continued investment in capital projects at both Avino and San Gonzalo Mines in Mexico, as well as the Bralorne Mine in British Columbia. Cash of $2.3 million was on hand at the end of the quarter. Subsequent to the end of the first quarter, the company closed a private-placement with gross proceeds of $6 million Canadian comprised of $3 million flow through common shares. The company will use the gross proceeds raised from the offering to incur qualifying Canadian exploration expenses and flow through mining expenditures on its Bralorne Mine in British Columbia. These expenses will be renounced to the purchasers of the flow-through shares for 2018 taxation year. Also subsequent to the end of the first quarter, the company signed a sales agreement with MK Metal Trading, Mexico, a subsidiary of Ocean Partners, USA to sell San Gonzalo concentrate for 12 months period. As per the agreement, the company received a prepayment of $2 million US which will be repaid in 12 equal monthly installments. Capital expenditures during the first quarter were $3.6 million compared to $2 million in q1 2017. Capital expenditures for the quarter are attributed to the Avino Mine advancement including the construction of Mill Circuit 4 and mining and production equipment to advance operations at the Avino Mine. At this point, I will hand it back over to David for a discussion on operations.
David Wolfin: Thank you, Malcolm. Operationally, we had a similar quarter to the same quarter and in line with our internal projections. During the first quarter, our silver equivalent production was up 9% to 657,000 ounces compared to 605,000 ounces in the same quarter of 2017. Our silver production was down 3% to 310,000 ounces. Our gold production was up 12% to just over 2,000 ounces, as well as our copper production was down 5% to 970,000 pounds from just over 1 million pounds. Revenue of $8.2 million is derived of 45% of silver, 22% from gold and 33% from copper. Our consolidated all-in sustaining cash cost per silver equivalent an ounce for Q1 2018 was $11.74 compared to $9.55 in Q1 2017, an increase of 23% due to higher operating costs. In the first quarter of 2018, approximately half of the 8,000 meter planned drill program was completed. The Bralorne geological team is currently evaluating the results. Also in the quarter, environmental work continued with regards to the requirements under the operating permit M-207. In particular, studies and reclamation regarding legacy issues plus work to improve the short and long-term water treatments and overall water management. A fire reactor pilot plant was constructed in the first quarter of 2018, which will be commissioned in Q2 of 2018 tested through maximum mine water flow during for shut from April to June and more normally flows for the remainder of the year. The objective is to find a passive system that could replace the current water treatment plan to lower operating costs. Overall, the financial results and progress in the first quarter of 2018 are within our internal projections. We are now extremely close to the completion of Mill Circuit 4 at the Avino Mine. Moving on to the outlook for 2018, management remains focused on the following key objectives, maintain an improved profitable mining operations while managing operating costs and achieving efficiencies; compete the Mill Circuit 4 expansion to increase Avino Mine production; complete a successful drill program to increase and improve confidence in our resource base at Bralorne and look at new exploration targets on the property; continue mine expansion drilling and explore regional targets on the Avino property; follow the recommendations in the 2017 PEA on the oxide tailings resource at the Avino Mine and assess the potential for processing the oxide tailings resource; complete paste backfill engineering and commence construction of the paste backfill plant. Finally, before we move on to the question and answer portion, I would like to touch upon our Fiftieth Year in the industry. And many of you have already noticed, our new President, new brand and logo. Over our fifty year history, we have inspired resilience, initiatives and enterprise across the team and we hope to continue working hard and relying on our core values of growth, quality and relationships. We would now like to move the call to question and answer portion. Operator?
Operator: [Operator Instructions] Our first question comes from Joseph Reagor of Roth Capital Partners.
Joseph Reagor : Good morning, guys and congrats on a good quarter.
David Wolfin: Hey, Joe, how are you?
Joseph Reagor : Good. So couple questions I guess, first one, with the ramp up of Circuit 4, the necessary increased mining rate and now the potential for using paste backfill. Do you have any concerns about bottlenecking issues underground trucks and scoops going in and out?
David Wolfin: Peter, do you want to talk about this one? How the process will work?
Peter Latta: Yes, no, as far as that, Joe, the areas that are mining to feed Circuit 4, it’s a different area of the mine with a different ramp, with different access. So there is not going to be any backup with regards to trucks or scoops. We currently have all the mining equipment on site. So, there is no issue with that.
David Wolfin: Are we into the bore hole – through the bore hole, but that’s being contemplated.
Joseph Reagor : Yes, I know for the articulation system for the backfill?
Peter Latta: Yes, as far as that is concerned, yes, I mean, it’s a gravity feed system for the backfill. It’s not like you are taking trucks down with rockfills. So, it’s actually a gravity feed system through bore hole and pipe system to feed the backfill.
Joseph Reagor : Okay. Well, it’s good to hear. There won’t be any issues there and go through that during ramp up period. So, good to hear you guys have a plan. Kind of bigger picture questions, Bralorne, you are now doing drilling and the tailings project, I haven’t heard them a lot about lately. Which one of those do you think could come forward first and when? If you can give any kind of round about estimates?
David Wolfin: Tailings, you mean the paste backfill?
Joseph Reagor : No, no the tailings reprocessing.
David Wolfin: Okay. Well, first of all, we need to decommission the current tailings. So the paste backfill has to be completed first and then we’d decommission it and then, we would drill it according to the recommendations in the PEA. Do the metallurgical test work on the upper sulphides and then, following that we can make a construction decision. So it’s still a two years out on the oxide tailings resource. But we are doing test work, metallurgical test work and that sort of thing. At Bralorne, there is a big campaign. We are putting together. We are really excited about it. Got all the environmental stuff under control now and now we are focused on development and exploration where we are going to do IT geophysics, soil sampling, rock structure studies, followed by drilling over the next 18 months. So we are excited about that.
Joseph Reagor : Okay, thanks. I’ll turn it over.
Peter Latta: Thanks, Joe.
David Wolfin: Thanks, Joe.
Operator: Our next question comes from Heiko Ihle of H.C. Wainwright.
Heiko Ihle : Hey, guys. Thanks for taking my question.
Carlos Rodriguez: Hey, Heiko.
David Wolfin: Hey, Heiko.
Heiko Ihle : Building a little bit on what Joe was saying with Bralorne. I mean, you’re talking in April you have $6 million flow financing, which still I think it’s sort of a good idea. I mean, it has a quite some implicit value a lot of potential and doesn’t get too much value from the investor, I mean, right now. In the releases, you stated that the team is still evaluating the results, how long do you think it will be on hold to see anything?
David Wolfin: For Bralorne?
Heiko Ihle : Yes.
David Wolfin: How many?
Carlos Rodriguez: Six months.
David Wolfin: Probably a few more months I mean, we recently in for a while. I’ll say, in a couple more months, Heiko.
Heiko Ihle : Okay. And I mean, it says, you already did half of the drilling of the 8,000 meters. So, what’s the average hole depth that your drill project? Is it deeper than we anticipate and deeper than it’s been drilled in the past?
David Wolfin: No, it’s right on surface, with surface holes we did in the beginning of the year. So, not very deep.
Heiko Ihle : Got it, and…
David Wolfin: At the most.
Heiko Ihle : Okay. And – I mean, you mentioned that the 800 level needed some rehabilitative work in the past and you got some consultants to review and develop a plan for it. And if I remember correctly, you said that they want to build a new tunnel on the 800 level. Is that already done? Or are we working on that or what’s the timeline?
David Wolfin: The new tunnel has nothing to do with the consultants. That’s our idea to build a larger mine to be able to haul more ore out. So we haven’t started on that. So, and that’s working on a new mine plan.
Heiko Ihle : Got it. Got it. Got it. And the other thing I had in mind on Bralorne was that there was a water treatment plant at Bralorne and you were planning on getting that on-stream in Q1. Is that still – did that happened?
David Wolfin: We are not doing for two years now?
Carlos Rodriguez: Yes, no, I think you are talking about the bioreactor. That’s a new passive water treatment to the pilot plant that we built and so this is a sort of a longer-term thing that we are looking at for down the road when the mine is ultimately closed and we can go to a passive water treatment, it will lower the reclamation costs.
Heiko Ihle : Okay. And then just finally, just for some housekeeping. With the expansion program at Avino and San Gonzalo, I mean, you are planning on spending $14.5 million in CapEx and you specifically said in the release that you are going to be buying more underground mining equipment for the San Luis. Has any of that been paid for yet or deposits been put down yet or is that going to have to be paid for in full in the remainder of the year?
Malcolm Davidson: Good question, Michael. So, the $14 million CapEx wasn’t assuming that we would build the paste backfill and it would require all the capital at once. Once we actually start to building it, the cost will be distributed out of – I’d say, 12 to 14 months. So we won’t be using a large portion of that $14 million this year. With respect to new underground equipment, some of our – some of it is going to get older, but we are maintaining it – our production jumbo. We are not anticipating any significant additions.
David Wolfin: We ordered a new production jumbo for San Luis, right and that’s financed by Sandvik.
Malcolm Davidson: Yes, we put a deposit on it, but it would be financed over 36 months.
Heiko Ihle : Perfect. Well, thank you guys.
Malcolm Davidson: Thanks, Heiko.
David Wolfin: We’ve got a new dozer from Komatzu with zero interest.
Malcolm Davidson: Yes, we haven’t got that one, yet.
David Wolfin: So, we are going to use that in the open pit to prepare – there is ore in the open pit. So we are going to go after that and fix the bottom of the open pit, so it can receive paste backfill down the road.
Operator: Our next question comes from Mark Reichman of Noble Capital Markets.
Mark Reichman : Good morning. Just a couple of questions. On Bralorne, are you still expecting to have an updated resource study by the end of the year?
David Wolfin: Not this year, because the drilling won’t be completed this year.
Mark Reichman : So, when is the early as to we would have an updated resource study?
David Wolfin: Well, as we mentioned this program that we raised $6 million for it will take about 18 or 19 months. So, possibly by the end of next year.
Mark Reichman : Okay. So that would be kind of the earliest point that you kind of make a decision to go forward, because that’s really what you are looking for as to beef up the resources and reserves. And so, what do you kind of have in your mind’s eye in terms of what you are comfortable with or what you are looking for in terms of moving forward with activity at Bralorne? I don’t know, whether you want to talk in terms of mine life or?
David Wolfin: Currently, it’s about five years and 400 tons per day throughput and we are looking to double that.
Mark Reichman : Okay. And so, if you – so for almost – well, a year-and-a-half, two years out on just kind of a decision to move forward the earliest. I mean, 2021 is kind of out the window, right in terms of when you might expect any production from Bralorne assuming everything goes right?
David Wolfin: That might be bit optimistic, but…
Mark Reichman : Okay. And then, on the oxide tailings, I think you’ve already kind of addressed that, but, in terms of the PEA, I mean, you’ve been doing more work. You are focusing on carrying out kind of the recommendations there. But, are there any changes in terms of your expectations or information that was reflected in the PEA or any changes relative to those initial expectations?
David Wolfin: No, no. We expect to improve the confidence of that report once we have the ability to finish off the drilling and do the met testing.
Mark Reichman : Okay. And so, on that project, once again, I think you said a few years out, so, I think in the past, so that would probably be once again, 2020 would probably be a little optimistic on that project.
David Wolfin: Correct.
Mark Reichman : Okay, okay. And then, just lastly, on the fourth Mill Circuit, how do you kind of expect that to ramp over the next few quarters? I think we had kind of 2250 tons per day in the third quarter, 2500 in the fourth quarter, but I think we are in 1750 in the second quarter. So, kind of how do you see that ramping up to this whole 2500 with the addition of Mill Circuit 4?
David Wolfin: Well, we are going to – we are hoping to be able to start processing and start to stockpile at June 1. It really depends. If there is any glitches, but we have been testing most of the circuit already. So, we anticipate it will be 2500 tons per day at June 1. But, there may be down there. So, yes, it might be a conservative to look at a little bit lower than that for the next quarter. But, by Q3, it should be a full ramp up completed by then. So, I think…
Mark Reichman : So, we should be operating at capacity in kind of in the third quarter?
David Wolfin: Sorry?
Mark Reichman : I said, so, all-in, I mean, you would expect kind of a 2500 rate kind of for the full quarter with the third quarter?
David Wolfin: Correct.
Mark Reichman : Okay, okay. And then, just lastly, just on the release, the production versus sales, kind of how do you think about that in terms of the matching between production and sales? And then your inventory levels?
Malcolm Davidson: I am not sure if I understand your question?
Mark Reichman : Well, in terms of just, your silver equivalent ounces produced versus silver equivalent ounces sold.
Malcolm Davidson: Right.
Mark Reichman : I mean, is that – I am relatively new to covering the company. So, how consistent is that? I mean, in terms of, are your sales – do you find that there is any mitigating factors are still pretty lumpy. I mean, how do you manage that relative to the inventory level that you may want to carry?
Malcolm Davidson: Well, generally, our policy is to sell everything that we produce. But we have some time lags and we’ll definitely have inventory on hand at the end of the year and end of each quarter. But we don’t have any internal policies or arrangements to plan for certain inventory levels. Obviously, we keep this – sorry, that would be a concentrate inventory. We do generally keep, I would say, a month or two of stockpile material, just to make sure that we have enough to run through the mill, but that would be about it.
Mark Reichman : Okay, okay. Well, thank you. That’s very helpful. I appreciate it.
Malcolm Davidson: Great. Thanks for the questions.
Operator: Our next question comes from Michael Wichterle of Cantor Fitzgerald.
David Wolfin: Hi, Michael.
Michael Wichterle: Yes, hi, David, good morning
David Wolfin: Hi.
Michael Wichterle: Actually, I don’t really have anything left. All of my questions were just addressed. So, I will just say congrats to you and the team for a good quarter and if there is anything else, I’ll just reach out.
David Wolfin: Great. Thanks for being on the call.
Malcolm Davidson: Thank you.
Operator: Our next question comes from Bhakti Pavani of Euro Pacific Capital.
Bhakti Pavani : Good morning, guys.
David Wolfin: Good morning.
Malcolm Davidson: Good morning, Bhakti. How are you?
Bhakti Pavani : Good, how are you?
Malcolm Davidson: Thank you.
Bhakti Pavani : Just quickly, when you are ramping up operations at Mill Circuit 4? Should we be estimating any ramp up cost associated with that? What you guys are…
Malcolm Davidson: I wouldn’t say ramp up cost, but, as we mentioned, our disclose reportable, we will be processing historical stockpiles, which won’t be the same value of our material from the San Luis Mine. But I wouldn’t anticipate any incremental start-up cost.
Bhakti Pavani : Got it. So, given that, you guys are expecting processing, operating Mill Circuit 4, June 1 and your plan is to process stockpile for the first six to eight months. So, I guess, you guys would not be processing any ore from the Avino Mine, at least in 2018? Is that fair to assume?
Malcolm Davidson: No, no. As I mentioned, it’s the first six months – expected six months it will be processed in the old stockpiles.
Bhakti Pavani : Okay. And in your mine plan, do you guys have any plan of mining San Luis ore or processing San Luis ore at this point through Circuit number 4? Or is it exclusively going to be ET Mine ore?
David Wolfin: Actually, well, it’s going to take – hang on.
Peter Latta: Bhakti, this is Peter here. Just, I think you might be a bit confused. So, Circuit number 3 is what used to process ET ore, which will continue this year. Circuit number 4 is what we are using to process as Malcolm suggested the stockpile material for the next kind of six to eight months. And after which, we will start looking at processing the San Luis ore.
Bhakti Pavani : Yes, that’s what I wanted to know. Okay, perfect. All right, that’s it from my side. Thank you guys.
Peter Latta: Thanks, Bhakti.
Malcolm Davidson: Thanks, Bhakti.
Operator: [Operator Instructions] Our next question comes from Mike Heim of [Indiscernible] Capital.
Unidentified Analyst: Hey, good morning. Thanks for taking my questions. I wanted to clarify – I have a few questions. I want to clarify, so, I was looking through the MD&A and so, are your costs based on the number of ounces produced or the number of ounces sold? The way I read the MD&A, your costs are based on number of ounces sold. Is that incorrect?
Malcolm Davidson: Right.
Unidentified Analyst: That is correct. So, some of the reason, you talked about some of higher operating cost, but some of the reason, you talked about higher operating cost in the quarter, but some of the reasons that cost per ounce was higher was just the lower number of ounces sold then.
Malcolm Davidson: Correct.
Unidentified Analyst: Okay. And, of your inventory, how much of that is finished, concentrate, finished goods, ready to be sold and how much is stock?
Malcolm Davidson: We’ve got a note in the financials on that. I’ll give you the exact number. The new slide on the financial statements on Page 9 gives a break down on what is in inventory. So, our concentrate inventory was $3.7 million, which is more or less all being sold and we’ve got materials and supplies, just items for maintenance, and then processed materials and stockpiles as I mentioned, we usually keep one to two months on hand.
Unidentified Analyst: Okay. Thank you so much. I had missed that. So, also someone else was asking and you clarified that the paste backfill spending will occur over 12 to 14 months. So, then, what would you see the CapEx needs for the rest of the year? Were they run a little bit less than they have been this quarter, or…
Malcolm Davidson: They will be less, but subsequent to the quarter end, we did the flowthrough financing and as David mentioned, we will be ramping up the exploration program at Bralorne. So, it will certainly turning up the costs.
Unidentified Analyst: Okay.
Malcolm Davidson: But as far as, it will not be as high as we originally thought it would be.
Unidentified Analyst: Okay, and then…
David Wolfin: And the engineering…
Unidentified Analyst: And the energy process…
David Wolfin: Go ahead.
Unidentified Analyst: Go ahead, I am sorry.
David Wolfin: The engineering on the paste backfill has taken a little bit longer than originally anticipated, because that’s a complicated sort of job. So, we are nearing the end of that. In the next couple of months it will be done.
Unidentified Analyst: Okay. And then in terms of, as you process the stockpiles, do you think that production will be relatively cash flow in neutral? Would you expect the costs will be – because, you just say it’s lower-grade stockpile?
David Wolfin: Yes, it’s lower grade. The margins on that aren’t as good as our ET material. But remember that the stockpile is already being mined. So the mine cost is quite low than just processing cost. So it’s not…
Unidentified Analyst: Okay.
David Wolfin: It is possible – cash flow positive, it’s just as not as good as they are regular San Gonzalo or ET material.
Unidentified Analyst: Okay. So, then with the inventory that you have which is pretty strong and you just did the flowthrough which will help with the Bralorne and CapEx. How do you see cash flow for the rest of the year? Free cash flow, do you think you will be relatively free cash flow neutral for the rest of the year then?
Malcolm Davidson: It’s a good question. I mean, we are looking forward to increasing our proceeds from the sale of concentrate on Circuit number 4. Whether it will be cash flow neutral, we have a fairly aggressive expansion plan, but we are planning to manage it with what we have on hand. But we also do have cash – to different sources of capital, well, should we want to utilize it.
Unidentified Analyst: Okay. I mean, so the additional sources of capital, what would those be? I know, you did the $2 million which was interesting at the end of the quarter of the pre-sales. What other tools are in the tool box there?
David Wolfin: Mill Circuit 4 the product that will be generated from that has not been allocated to any trading firm at this time. So, they are all jacking for position to bet on it. So you may see another off-take agreement.
Unidentified Analyst: Gotcha. Gotcha. And then, last question, thanks for your patience. The three – you talked about the three areas that you explored outside of the current working areas, which – it sounded like, only one you are really encouraged by, but I may have missed how you characterize it. So, is only one of those three areas interesting so far? And when would you expect to give us more information?
David Wolfin: They are all interesting. Guadelupe is at the moment holes into it. San Juventino had a nice intercept which requires further drilling. There is no shortage of drill targets on this property as the geological window with storms, rains all over the property. So, it’s just a matter of drilling up a resource on any one of them to make it a priority. So, we look to the closest proximity to the working, that is the number one priority to. So we can maintain and access the new areas through those openings that we have already.
Unidentified Analyst: Okay, and I did have one last one. There has been some quite a bit of discussion on the Presidential Election in Mexico. Maybe you just give shareholders you’ve been operating there for quite some time. Any perspectives from you guys in terms of the political environment down there?
David Wolfin: Well, we’ve been there for 50 years. So, we’ve seen every party in there and they like business. So, we will operate with whatever the current – whatever happens. So, we’ve got a 100% Mexican labor force and quite proud of that. So, we’ve never seen any interruption in operations because of an election.
Unidentified Analyst: Okay, great. Well, thank you so much for your patience and lots of interesting things going on. Have a good quarter. Thank you.
David Wolfin: Great, thank you, Mike.
Malcolm Davidson: Thank you.
Operator: This concludes the question and answer session. I would like to turn the conference back over to Mr. Wolfin for any closing remarks.
David Wolfin: Thank you, operator, and thank you again to everyone who joined the call today. Once again, we continue to work diligently on expanding our operations and making improvement to grow the company and ultimately increase shareholder value. Thanks, and have a good day.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.